Operator: Good day, ladies and gentlemen. Thank you for joining today's Pinterest Third Quarter 2025 Earnings Conference Call. My name is Tia, I will be your moderator for today's call. All lines will be muted during the presentation portion of the call. I would now like to pass the call over to your host, Andrew Somberg, Vice President of Investor Relations and Treasury. Please proceed.
Andrew Somberg: Good afternoon, and thank you for joining us. Welcome to Pinterest earnings call for the third quarter ended September 30, 2025. My name is Andrew Somberg, and I'm Vice President of Investor Relations and Treasury for Pinterest. Joining me on today's call are Bill Ready, Pinterest CEO, and Julia Donnelly, our CFO. This conference call is being webcast, and we are also providing a slide presentation to accompany our commentary. Please refer to our Investor Relations website at investor.pinterest.com to find today's presentation, webcast, and earnings press release. Some of the statements that we make today regarding our performance, operations, and outlook may be considered forward-looking, and such statements involve a number of assumptions, risks, and uncertainties that could cause actual results to differ materially. In addition, our results, trends, and outlook for Q4 2025 and beyond are preliminary and are not an assurance of future performance. We are making these forward-looking statements based on information available to us as of today, and we expressly disclaim any duty or obligation to update them later unless required by law. For more information about assumptions, risks, uncertainties, and other factors that could affect our results, please refer to our most recent Form 10-Q and Form 10-Ks each filed with the SEC and available on our Investor Relations website. During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP measures to the most directly comparable GAAP measures is included in today's earnings press release and presentation, which are distributed and available to the public through our Investor Relations website. Lastly, all growth rates discussed in today's prepared remarks should be considered year over year unless otherwise specified. And I'll now turn the call over to Bill.
Bill Ready: Thanks, Andrew. Good afternoon, and thank you for joining our third quarter 2025 earnings call. Q3 marks another quarter of strong execution against our multiyear strategy and long-term financial targets. Over the past few years, we've transformed Pinterest from a platform of window shopping, where users often found that all the stores were closed, into an AI-powered visual-first shopping assistant. We are digitally replicating the joyful experiences of walking the bazaar or working with a great salesperson at your favorite boutique while seamlessly enabling our users to take action. In an evolving competitive environment, Pinterest continues to distinguish itself as a destination for our users and a vital partner for our advertisers. To illustrate this point, nearly 85% of our users come directly to our mobile app, meaning we're not reliant on search engines or other third parties for traffic. We reached 600 million monthly active users in Q3.
Julia Donnelly: Marking our ninth straight quarter of record high users with particular strength in Gen Z. Gen Z is our largest, fastest-growing cohort, comprising over 50% of our user base and represents the next generation of users and shoppers who are influential tastemakers, content creators, and a lucrative audience for advertisers to reach. This momentum is also evident in key markets, with our U.S. and Canada MAUs reaching 103 million, the highest level on our platform in the last 4.5 years. Importantly, 100% of our reported users are logged in, giving us valuable first-party intent signals that provide an unparalleled view into consumer tastes and preferences, which powers our recommendation engine and creates an even better user shopping experience. This combination of scale and intent continues to fuel our financial performance, with Q3 revenue growing 17% year over year to $1.049 billion, proving our role as a trusted partner to brands and agencies across the world. Not only has our platform become a destination for shopping, but we've also increasingly become a destination for search, in particular, visual search. Today, there are approximately 80 billion monthly queries across Pinterest, split across related items and other forms of visual search, and traditional text-based searches. In Q3, all of these individual query types grew year over year on the platform. Overall queries per user also grew year over year, as we deepen engagement per user and users search more often on Pinterest. Related items and other forms of visual search are by far the largest source of queries, and on our latest visual search features in particular, queries grew the fastest. These trends help to highlight how our AI investments are elevating our visual search capabilities and the relevance of our shopping recommendations. As a result, we are driving more of our engagement towards visual search, an area where we have a distinct right to win and is aligned with the visual inspiration and discovery that our users have come to expect from Pinterest. At the same time that we found our best product market fit with users, we've also built a performance ads platform that harnesses our users' commercial intent and AI-driven automation to improve performance and simplify campaign creation for our advertisers. As a result, we've grown outbound clicks to advertisers by 40% year over year in Q3, and by more than five times over the last three years. We have also broken into performance budgets, including achieving 5% to 10% share of total ad spend for some of the world's largest, most sophisticated advertisers. Through continued product innovation, we see meaningful runway to expand our share of wallet with these large advertisers, while also growing with smaller mid-market advertisers through continued improvements to our AI-powered automation suite, Pinterest Performance Plus. International markets also remain significantly under-monetized, creating clear opportunities to increase monetization over the next several years across multiple growth levers. With these foundations in place, we see a clear path to sustainably grow our business and expand our market share. AI is the heart of the Pinterest experience, working continuously in the background to understand our users' evolving tastes and preferences. Unlike chat or search platforms that wait for users to type a prompt, our AI is proactive. It anticipates what users will love next, curating a fresh feed of personalized recommendations that are ready the moment they return, advancing their commercial journeys without the user having to ask, which is effectively the promise of agentic experiences. This is the magic of Pinterest, delivering a world of inspiration and individualized AI-assisted shopping for each user. In effect, this has made us an AI-powered shopping assistant for our 600 million monthly active users. Importantly, through this experience, we are acting as a true partner to our advertisers. We don't disintermediate their traffic. We provide our users a seamless journey from visual discovery directly to the advertiser's product checkout page, helping our advertisers gain a customer, not just a transaction. This entire ecosystem is built on our core competitive advantage, a deep understanding of user taste, intent, and product associations. Our AI is trained on billions of first-party signals from hundreds of millions of people actively curating and buying, which builds our taste graph. This unique first-party data then trains our AI to recommend deeply personalized and relevant content, often before users can even articulate what they're looking for. This creates a powerful feedback loop. As we provide more value to our users by surfacing what they're looking for, they engage more deeply, further enriching our data and strengthening our ability to recommend relevant content. This May, we launched a significant enhancement to visual discovery on Pinterest, our first-ever multimodal search experience, starting with women's fashion.
Andrew Somberg: This upgraded feature allows users to refine searches with more precision than ever by using both image and text inputs. Powering this experience is a proprietary in-house multimodal model trained on Pinterest's vast and unique dataset, which is 30% more effective at identifying and recommending relevant content from our corpus compared to leading off-the-shelf models. Now we're testing ways to expand multimodal search and bring AI to the foreground of the user experience with the launch of our new Pinterest Assistant. With Pinterest Assistant, we are fundamentally enhancing the discovery journey on Pinterest by transforming pure text-based search into a voice-activated conversational assistant. Now users can move beyond simple keyword text inputs to describing open-ended, complex questions and commands like, "What outfits might match this theme?" and "Make these home decor ideas brighter with a modern layout." Our AI technology surfaces real-time inspiration that takes these conversational descriptors, runs them through our AI, fine-tuned with our first-party signal, and surfaces shoppable products from our catalog. Additionally, by translating natural language queries into curated visual results, we are also able to capture more nuanced commercial intent, providing us valuable signals to drive further personalized recommendations. We just began a beta rollout of Pinterest Assistant to a small set of test users in the U.S. We're excited about the opportunities that multimodal search can unlock, and we'll continue to test this product over the coming quarters, seek user feedback, and expand access to a broader set of users over time. AI is also being integrated to help move users through their commercial journeys in ways that are unique to Pinterest. A recent example is with boards. As I discussed in past quarters, boards are at the heart of a user's inspiration-to-action journey and a superpower of our platform. Hundreds of millions of our users actively save to 15 billion boards, organizing every aspect of their lives and creating an intent signal found nowhere else in the Western world. Importantly, users who use boards are more likely to revisit, less likely to churn, and more likely to have deeper sessions. Now we're using AI to make boards even more inspirational and shoppable, helping users move seamlessly from discovery to decision. In the coming weeks, we will be introducing new trends and brands to our UCan users with a new feature called "Boards Made for You." This feature brings timely curated collections of fresh and personalized content right into the home feed, with the goal of driving more frequent visitation and curation and introducing relevant shopping recommendations. With a blend of AI-driven recommendations and expert human curation, we're delivering personalized boards that help users discover new trends for them, see what others with similar styles and interests are loving each day, and shop personalized weekly outfit ideas. As part of our Q4 holiday go-to-market efforts, we're also launching the Holiday Edit, consisting of hundreds of new expert-curated gift guides spanning 17 categories, including fashion, home, food, beauty, travel, parenting, and technology. These shoppable boards feature gift ideas selected by celebrities in the know and Pinterest experts who understand exactly what to buy for every taste and budget. Through these initiatives, we're driving value for our users that they can only find on Pinterest, which in turn drives better engagement on the platform. Our commitment to enhancing the user's journey from inspiration to action creates a powerful, full-funnel opportunity for advertisers. It allows them to connect with consumers at every stage, especially during the critical discovery phase where users have high commercial intent but don't yet know exactly what they want to purchase. To that end, we recently launched a number of ad formats geared towards connecting users to shoppable products. For example, we recently launched top-of-search ads, now in beta, in all monetized markets. These ads appear directly within the top 10 search results and in related pins, ensuring that a brand's products are visible where shopping journeys most often begin and ahead of the competition. Since 45% of clicks occur in the top 10 search results, this placement is highly valuable. Our testing shows an average click-through rate of 29% higher for top-of-search ads compared to standard campaigns and a 32% higher likelihood of attracting new users who haven't seen or engaged with a brand's ads in the past. For example, Tractor Supply Company leveraged top-of-search ads and in an A/B test saw a 129% increase in click-through rate versus their catalog benchmarks. Last quarter, I highlighted our significant opportunity to enable new seamless shopping experiences across various categories on our platform. As part of that effort, we announced our new partnership with Instacart, which enables Pinterest ads to become directly shoppable via Instacart, allowing users to complete a purchase in just a few clicks. In September, we further expanded this functionality, which brings actionability to CPG advertisers with the launch of "Where to Buy" links. "Where to Buy" links make standard ads instantly shoppable by surfacing multiple in-stock retailer options for a single product directly from an ad, all while allowing advertisers to receive valuable purchase intent data. With one tap, shoppers can view retailer options and choose their preferred one to complete a purchase. In September, we also launched local inventory ads, where retailers can display real-time prices for in-stock items within a shopper's local store radius, adding a layer of convenience and actionability for users who want to know what's available nearby. These new ad formats are complemented by our ongoing focus on Pinterest Performance Plus, where we continue to drive adoption, increase functionality, and enhance bidding capabilities through features like ROAS bidding, and subsequently drive increased advertiser spend. We're excited about the performance that Pinterest Performance Plus is delivering for advertisers, particularly Pinterest Performance Plus campaigns, our AI-powered suite of automated ad products designed to boost campaign performance by simplifying setup and optimizing delivery across objectives. Pinterest Performance Plus campaigns bundle a la carte features like P+ Bidding, P+ Targeting, and P+ Budgets into one suite to help advertisers reach the right audience and drive better results with 50% fewer inputs related to setting up a campaign. Just one year since launching into general availability, we're extremely pleased with our progress and the performance we're driving for advertisers. For example, retail advertisers that spent on Pinterest Performance campaigns have on average seen a 24% higher conversion lift than those spending only on traditional campaigns. Additionally, Performance Plus campaigns are also helping us deepen performance across a wide range of advertiser segments. Last quarter, we talked about how our Pinterest Performance Plus campaigns were seeing a particularly strong product market fit amongst our mid-market, enterprise, and smaller advertisers, as these advertisers value automated and simplified ways to optimize their campaign performance on our platform. We continue to see the highest adoption of this tool amongst our smaller and mid-market managed advertisers, who range from tens of millions to upwards of $100 million in annual gross merchandise value. As these advertisers adopt Performance Plus campaigns, we are seeing them spend more on the platform. Among our mid-market and smaller managed advertisers, Performance Plus campaign adopters exhibited, on average, a 12% higher monthly growth rate in spend on Pinterest post-adoption when compared to non-adopters. While this cohort of smaller and mid-market advertisers represents approximately 15% of our revenue today, we see significant opportunity to continue to increase our share of wallet with this segment of advertisers. We also continue to add new features and functionality to the Pinterest Performance Plus suite. In Q1 2025, we launched Performance Plus ROAS bidding, which provides more granular bidding functionality for advertisers and optimizes for conversion value, not just the volume of conversions. This is particularly impactful for advertisers that have a large catalog of varying price points. While we are only two quarters into general availability of ROAS bidding, we're seeing promising early adoption.
Operator: Globally,
Julia Donnelly: 22% of our lower funnel retail revenue now flows through ROAS bidding. And notably, as we drive adoption, we're increasingly seeing advertisers place bids against a greater portion of their catalog. In Q3, the number of unique shopping SKUs with a paid ad impression grew more than 100% year over year, and advertisers using ROAS bidding contributed the entirety of that growth. Lastly, we continue to enhance our Pinterest Performance Plus suite and be responsive to advertiser feedback. As an example, advertisers have requested additional transparency regarding the audiences their Performance Plus campaigns are reaching, to supplement the performance metrics they already receive. As a result, we recently launched enhanced new reporting functionality in Ads Manager, offering detailed audience breakdowns, including age, gender, and approximate location. In short, just over a year since launching Pinterest Performance Plus, I am proud of the value we've delivered for advertisers with meaningful opportunities still ahead of us. Now I'll turn to our international opportunity. International monetization represents one of our largest, most durable growth vectors, and we're still in the very early innings. Today, we have roughly 500 million MAUs outside of UCan, or 83% of our global users, evidence of our strong global awareness and product market fit with our users. However, these users represented just 25% of global revenue in Q3 2025, reflecting our historical monetization focus on UCan. While we continue to see opportunities to drive growth in UCan, this imbalance creates the upside we're now beginning to unlock as we scale proven playbooks across our Europe and Rest of World regions and integrate more deeply with the advertising ecosystem in each of these regions. Our go-to-market approach is region-specific. In Europe, we lead primarily with our first-party sales team to serve advertisers directly. We're also focused on strengthening our relationships with agencies, who manage and deploy much of the digital advertising spend in this region, and who we view as vital partners in the ecosystem, as well as integrating with marketing tech partners who help advertisers manage their creative and campaigns. In the rest of the world, we've deployed a hybrid model that blends our direct sales force in select markets, reseller partners in over 40 countries, and incremental third-party ad demand, allowing us to effectively scale growth in longer-tail markets that were previously unmonetized or significantly under-monetized. Critically, we're exporting what already works in UCan while localizing the implementation. Our lower funnel playbook focuses on increasing uploads of product catalogs and driving adoption of shopping ad formats and privacy-centric measurement. We couple that with Pinterest Performance Plus to simplify campaign creation and improve outcomes for our advertisers. The result is a consistent, measurable path for advertisers to see performance and scale their spend on Pinterest. As an example, Pandora, a leading European-based global jewelry retailer, leveraged many of Pinterest's best practices, including the adoption of Pinterest Performance Plus across 100% of their lower funnel spend in existing markets, which drove ROAS lifts across their campaigns. Additionally, Pandora adopted our conversion API, driving nearly a 36% increase in ROAS, and after implementing offline conversions, drove a 148% increase in ROAS across priority markets. International advertisers leaning into our shopping ad formats has been one of the clearest indications that our lower funnel playbook is resonating across the globe. Two years ago at our Investor Day in September 2023, shopping ads represented just 9% of international revenue. In Q3 2025, it reached 30%. In fact, Q3 shopping ad revenue in both Europe and the Rest of World grew over two times faster than the overall revenue growth of their respective regions. Despite this progress, we see significantly more opportunity to both activate and grow our share of wallet with international advertisers, particularly with the most sophisticated European and rest of world advertisers, where we are currently underpenetrated. It's still early, but we're making tangible progress narrowing our international monetization gap as measured by international ARPU relative to UCan. Overall, I'm extremely proud of our team and the progress we are making across a number of initiatives. Pinterest is growing users across all the generations and geographies we track and has become a destination. Importantly, we're also growing queries, board creation, and clicks to advertisers faster than users, meaning we're deepening engagement per user across the dimensions we want, even as users have more alternatives than ever for search. With that, I'll turn the call over to Julia to share more details about our financial performance.
Julia Donnelly: Thanks, Bill, and good afternoon, everyone. Today, I'll be discussing our third quarter 2025 financial results and provide an update on our preliminary fourth quarter 2025 outlook. All financial metrics for revenue will be discussed in non-GAAP terms unless otherwise specified, and all comparisons will be discussed on a year-over-year basis unless otherwise noted. Now let's start with our third quarter results. We ended the quarter with 600 million global monthly active users, or MAUs, growing 12%, our ninth consecutive quarter of record high users. We continue to demonstrate user growth across all of our geographic regions. In Q3, our U.S. and Canada region had 103 million MAUs, growing 4%. Our Europe region had 150 million MAUs, growing 8%. And in the rest of world markets, had 347 million MAUs, growing 16%. Shifting to revenue. In Q3, our global revenue was $1.049 billion, up 17% on a reported basis and 16% on a constant currency basis. We saw strength across our conversion and awareness objectives. Across verticals, we continue to see strength led by retail, as well as by smaller, faster-growing categories on our platform, including telecom and entertainment. We also continue to see a normalization within CPG, driven largely by our food and beverage sub-vertical. Turning to our geographical breakouts for Q3. In the U.S. and Canada, we generated $786 million in revenue, growing 9%. Strength came from retail, CPG, telecom, and entertainment. In Europe, revenue was $193 million, growing 41% on a reported basis or 34% on a constant currency basis. Strength in Europe was driven by retail. Revenue from Rest of World was $70 million, growing 66% on a reported basis or 65% on a constant currency basis. We're pleased to deliver the strong 17% third-quarter revenue growth, which exemplifies our multiple ways to win that I've spoken about for many quarters. We continue to diversify our business across geographies, grow long-standing as well as new advertiser verticals, and begin to deepen our share with mid-market and smaller advertisers. We did face pockets of moderating ad spend in UCan in Q3, as larger U.S. retailers navigate tariff-related margin pressure in the current environment. However, as Bill noted, we also saw accelerating strength across our international geographies in Q3 as we have begun to successfully export our lower funnel playbook around shopping. In Q3, overall ad impressions grew 54%, while ad pricing declined 24% year over year. The primary driver of the continued strong growth in ad impressions and corresponding decline in ad pricing continues to be the growing mix shift from ad in previously unmonetized or under-monetized international markets, which carry lower ad pricing than our more mature markets. Moving to expenses. In Q3, cost of revenue was $206 million, up 13% year over year and up 5% versus Q2 due to increased infrastructure spend related to our user and engagement growth. Our non-GAAP operating expense was $543 million, up 15%. The increase was due to investments in sales and marketing and R&D, as we continue to invest in headcount to support our AI and other product initiatives as well as our sales force. Our revenue growth combined with our disciplined approach to cost led to another strong quarter of adjusted EBITDA, coming in at $306 million, a margin of 29%. Adjusted EBITDA margin expanded 170 basis points versus Q3 last year and helped to deliver Q3 free cash flow of $318 million. This speaks to the inherent profitability of our business and the highly cash-generative nature of our model, with over 90% of our adjusted EBITDA converting to free cash flow over the trailing twelve months. We ended the quarter with cash, cash equivalents, and marketable securities of $2.7 billion. As a reminder, we've previously discussed the four pillars of our capital allocation framework, which remain unchanged. First, investing in product and technology innovation; second, balance sheet optimization; third, preserving flexibility for opportunistic and disciplined M&A; and fourth, dilution management. To that end, as part of our ongoing efforts to mitigate dilution from employee stock-based compensation, in Q3, we allocated $199 million towards share repurchases and $115 million toward net share settlement of equity awards, thus bringing fully diluted share count roughly flat year over year. Now I'll discuss our preliminary guidance for the fourth quarter. We expect Q4 revenue to be in the range of $1.313 billion to $1.338 billion, representing 14% to 16% growth year over year. Our guidance assumes the impact of foreign exchange to be approximately one point of tailwind based on current spot rates. Moving down the P&L, we expect Q4 2025 adjusted EBITDA to be in the range of $533 million to $558 million. We anticipate Q4 2025 non-GAAP cost of revenue to grow sequentially from Q3 2025 by high single digits percent. Within Q4 non-GAAP operating expense, our primary area of investment will continue to be headcount growth within R&D, to support our efforts in AI and other product initiatives as well as our global sales team. Our Q4 adjusted EBITDA guidance confirms that we will continue to expect adjusted EBITDA margin expansion in the second half of 2025. Consistent with our commentary on our last earnings call, the level of expansion in the second half will be lower than the more elevated expansion we delivered in 2025 as we continue to invest in revenue-driving initiatives. Overall, we are pleased with our progress in 2025 towards our long-term adjusted EBITDA margin targets and our ability to continue generating significant free cash flow. In closing, I'm proud of our team for another strong quarter as we continue to deliver for our users and advertisers. With that, I'll hand it over to Bill for some final words.
Bill Ready: Thanks, Julia. I want to thank our teams at Pinterest, our advertising partners, and all the people that come to Pinterest to find inspiration and take action. And with that, we can open the call up for questions.
Operator: We will now begin the Q&A session. If you have a question, please press *1 on your telephone keypad.
Ron Josey: The first question comes from the line of Ron Josey with Citigroup. Please proceed.
Ron Josey: Thanks for taking the question. Bill, a bigger picture question for you and then Julia, I had one for you. Just on the future of e-commerce, I'd love to get your thoughts on agentic commerce, agent search, and how everything is evolving here. And specifically Pinterest's opportunity and strategy given its evolving landscape and then clearly with the launch of Pinterest Assistant. And then Julia, I think you mentioned some pockets of growth in UCan given tariffs. Wondering if this continued or if things have normalized since then? Thank you.
Bill Ready: Thanks for the question, Ron. So one of the things I'm most proud of when I look at our results, particularly over the last three years, is the strength that we have had with users. Nine straight quarters of record high users. And the fact that shopping has been at the very center of the resurgence of our platform, the core of that is that we've effectively become an AI-driven shopping assistant, as I discussed in my prepared remarks. And to go a little further on that, related to your question on agentic, Pinterest is proactive. It anticipates what users love without the user having to ask. Effectively, that is the promise of agentic. The AI is working for you without you having to tell it what to go do. And that's exactly what users experience on Pinterest every day and what is leading to that deep engagement that we understand their style and taste and preferences so well that every time they open the app, they're getting great new recommendations from our AI-driven systems. And we're making those more and more helpful. As evidenced by the Pinterest Assistant that we just announced. You know, we're clearly not standing still. We're going to continue advancing that and we're going to continue to be centered on our strength in a visual-first experience. But adding voice, bringing more of the AI to the foreground, we think will take us further into that AI-driven journey for the user. And our focus, to be clear, is in guiding the user through the decision-making journey. We believe that is the most impactful part of the promise of agentic. From a buying perspective, we deliver great buying experiences for our users. For example, we have push-button buying with Amazon-linked accounts. That's a great experience. We have millions of users using that today where they can buy right within our platform, and if we see users saying they want the AI to push the button for them, that's not a technically complex thing for us to do, but we think, actually, the more differentiated thing is how we're guiding the user through that journey, helping them go further down their commercial journeys every time they come back to our app. And it's also worth noting, as you've seen other AI platforms really burst onto the scene, AI, OpenAI, at 800 million users, that's brand new over the last few years. But even if that has happened, we've delivered nine consecutive quarters of record users while deepening engagement across the metrics that we want, including on search. And within that, a 44% increase in queries and our latest visual search features. So we think that is really clearly demonstrating that we've carved out a unique space for ourselves there. And when you think about that broader promise of agentic, the AI on your behalf to guide you through those journeys, I think we are 600 million plus monthly active users. I think we are one of the most popular places for users to go in that and doing something unique and distinct from others. And then on the cost side of that, I think it's really important to understand that just as we've been talking about our ability to go align the AI with great monetization continues. The cost implications there, it's not only about us aligning the assistant with our ability to monetize, and how that is renewing great search results that are highly commercial in nature. We have our own proprietary and compact fit-for-purpose model that performs really well, and every pin we serve today is driven by that. And that's really already in our cost structure. And when there are things that we need to do with broader LLM capabilities, we are constantly doing side-by-side testing, which both the leading off-the-shelf proprietary models and open-source models. And one of the really, really interesting things that we're seeing is that we are just getting tremendous performance from open-source models. Specifically for Pinterest use cases on visual AI. Given current market rates and per-token costs, in early testing, we're seeing orders of magnitude reduction in cost with comparable performance using fine-tuned open-source models versus leading off-the-shelf proprietary models. So going forward, we think open-source can be applied to many more of our use cases and at a fraction of the cost of the larger model providers using open-source. So again, we feel really good about the value that we're bringing to the user there. Our ability to align that with monetization, and our ability to control those costs and deliver that effectively.
Julia Donnelly: Then, Ron, the second part of your question, I'd say overall with respect to Q3, the quarter played out largely as we expected. In addition, we saw some of the pullback from some U.S. retailers' spend from Asia-based e-commerce players in the U.S. was down year over year again, though relative to Q2, did see a partial recovery there. As we think about guidance for Q4, our Q4 guidance range is one point lower than our guidance range was for Q3. As we see these broader trends and market uncertainty continuing, with the addition of a new tariff in Q4 impacting the home furnishings category. So I think overall, we still feel really good about our mid to high teens revenue growth targets over the medium and long term and the durability of our revenue growth. There are several areas of momentum in our UCan business that continue, that you've seen over the last several quarters. So one of those has been momentum in emerging verticals, also momentum in smaller and mid-market advertisers, and then some of the international opportunity that Bill touched on in his prepared remarks. To put this into perspective, some of these emerging verticals in the U.S., like financial services, is nearly a $40 billion digital ad category in the U.S. We estimate that we have less than 0.5% of market share there, and that category has been growing really nicely for us for some time. We expect this to translate into further share gains in this and other emerging verticals like travel, entertainment, and telecom. Likewise, smaller and mid-market advertisers today represent only 15% of our revenue as our priority has been to solve the needs of larger enterprise advertisers first. But we're seeing nice tailwinds as these smaller and mid-market advertisers adopt Performance Plus campaigns, and we plan to continue to invest more into growing this segment. So all these initiatives continue to play out over time, and we expect them to take time to play out, we're confident we have the right playbook to drive further growth, including in UCan moving forward.
Operator: Thank you.
Eric Sheridan: The next question comes from the line of Eric Sheridan with Goldman Sachs. Please proceed.
Eric Sheridan: Thanks so much for taking the question. Maybe building on that answer, just Bill, can you characterize more broadly the digital ad environment that you find yourself operating in representing Q3 and what you just reported and sort of the building blocks of Q4?
Bill Ready: Thanks, Eric. We're pleased with another strong quarter in Q3 at 17% revenue growth. And as I'm sure you've noted, we've been quite consistent in our growth and in line with the long-term targets for revenue and margin that we laid out at our Investor Day two years ago. So we continue to feel good about that mid- to high-teens revenue growth target over the long term that we laid out at Investor Day and our ability to deliver. It's also really important to note, and this gets to your question on the broader environment, also important to note that we grew 17% despite operating in an environment where some of our largest retailers in UCan pulled back spend across the industry, not specific to us, but pulled back across the industry as they navigated tariff-related margin pressure. And we think that's disproportionately impacting large retailers. But that is a segment that we have more exposure to than other platforms given our focus on shopping, though we continue to grow in other verticals and segments of the market in addition to those. Additionally, as advertisers are adopting AI-driven platforms, there's a next level of optimization in the AI ad platforms that's taking place right now. We're bidding is getting further aligned to advertisers' measurement sources of truth. And more events that lead up to a conversion are being incorporated. We think that presents an upside opportunity moving forward. We began that journey earlier this year with ROAS-based bidding, and we've seen good results there. For example, after launching ROAS bidding in Q1, we saw a 100% increase in shopping SKUs with paid ad impressions across the platform in Q3. And as driven entirely by ROAS bidding adopters as I noted in my remarks. And more of those advertisers are uploading greater portions of their product catalogs. We've talked about that opportunity to get deeper into the catalog, even of our largest advertisers. We think this will continue to help us do more of that. Going forward, we see meaningful potential to expand further into AI-based optimization of other events that are valued in advertisers' measurement sources of truth. And while many advertisers have adopted these solutions first with the larger platforms, that is typical of the adoption cycle, we are testing this with some of our largest partners, and we're seeing really good early results. Certainly, more of that is in front of us than behind us. But the good news is that the alignment of AI bidding with the advertiser's measurement source of truth is market expanding. I think we've already seen that reflected in some of the larger platforms and what they have been out in the market with. And that tends to give more credit to events leading up to a conversion, such as view-through attribution, which should be good for a full-funnel platform like Pinterest. So this should accrue to our advantage in future quarters as we continue to roll out those features. We're very early on our platform now. But we are seeing good early results in our broader deployment of these additional Performance Plus solutions, in 2026, we think there's continued opportunity there. So we know we're driving performance for advertisers. Clicks to advertisers increased 40% in Q3. And clicks to advertisers outpaced revenue in all of our reported geographies. In fact, clicks to advertisers are up over 5x over the last three years. But clearly, we have more to do to get proper credit for that performance.
Operator: Thank you.
Rich Greenfield: The next question comes from the line of Rich Greenfield with LightShed Partners. Please proceed.
Rich Greenfield: Thanks for taking the question. Seen that's allowing users to actually remove AI content. I guess the big question is how do you know what's AI-generated, what's not, and why did you make that decision? It seems like a lot of your peers are actually encouraging and want AI content because they want more content to keep people even more engaged, sell more ads, or to build the business. And so it seems like you're sort of doing the opposite. And I'm curious, you know, or maybe allowing the opposite versus doing the opposite. Why and help us understand how this all works and why you're doing it.
Bill Ready: Yeah. Thanks for the question, Rich. So it's a really great clarification. You know, overall, we see GenAI-created content as a big tailwind for our platform, and we are very much embracing it. Part of embracing it is addressing content quality. And we address content quality primarily through our recommender systems. But then also by giving users choice in saying what they want to see. And so I think you've heard this across pretty much every platform out there, that there are some users and some use cases that would like to see less AI-driven content. And so we're simply giving the user choice, but we're also leveraging all the really great AI-generated content that is available out there. And I think this is not dissimilar to what has happened in prior expansionary moments with content, whether you think about what happened with online video or short-form video, or the ability for everyone to take a photo with their phone, initially, people react to changes in the volume of quality leading to some examples of lower content quality. But if you have recommender systems, they can really parse what's great quality versus not great quality, then you can give users the best of that expanding content corpus. And when you look at the engagement on our platform, I think that demonstrates that we're doing a pretty good job of parsing all that great influx of AI-generated content that's out there and figuring out what's going to be relevant for which user at which moment in time. And then what we're doing is augmenting what our recommender systems can do with the user's ability to give us direct feedback if they want to see less AI-driven content. You do have some use cases where someone might say, well, hey, I'm looking for a specific thing to provide architecture on my home. And so I need to know it's a real picture of something that could actually be built versus something that is AI-generated. I think over time, users will accept more and more of that as the quality filters get better and better. But again, overall, we see GenAI content as a significant tailwind on the platform already. And it's really about getting the content quality right, which primarily we do behind the scenes on our users' behalf, but we're giving them tools to say when they want to see more or less. And then specifically to your question of how do you tell, I would say there's not a precise ability for any platform to catch 100% of what is AI-generated. There are some industry-level tags that we would act on. There are also things where we're looking at metadata and other indicators that give us an indication of that. But that's why we say see less, not see none of, because the ability to precisely spot that is not perfect for any platform. And I would just say over time, I think it'll get to a place where almost every piece of content you see will have been, at a minimum, edited by AI in some form or another. And there are analogs to this. If you think back to, it used to be that people would get really sort of incensed, or some people get incensed if photos had been photoshopped. Well, it has long since been the case that nearly everything you would see out there would have been not just photoshopped, but you have filters and all these things that even the average person can do. We think that over time, almost every piece of content you see will have been AI-modified in some way. And it really will come down to content recommendation and content quality. But in the near term, we're giving users choice and allowing them to express what they want to see and honoring that choice.
Operator: Thank you.
Shweta Khajuria: The next question comes from the line of Shweta Khajuria with Wolfe Research. Please proceed.
Shweta Khajuria: Okay. Thank you for taking my question. I was wondering if you could please talk about your relationship with Magnite and more broadly about your efforts to add new sources of demand and perhaps timeline around that?
Bill Ready: Thanks for the question, Shweta. We've been very consistent from the beginning as we think about our programmatic and third-party strategy. Our first-party ad demand continues to be the primary driver of our growth, with third-party demand really complementing and rounding out our auction when there may be gaps in the auction. With respect to Magnite, when we announced that we said it would take time to integrate, test, and do a more fulsome go-to-market. We're still working through that testing now, and we're in the early days. Today, most of our efforts have been with respect to 3P have been focused on bringing on new sources of demand on the platform, as many of these programmatic budget pools are large and new to Pinterest today. So we continue to see that consistently with how we have before. But I would also call out that there's a next potentially meaningful opportunity that we're also starting to look at that we think we bring a unique audience to these budget pools given the high intent nature of our audience and the visual discovery that uniquely occurs on Pinterest. So as a result, we're also starting to explore very early testing at how valuable our audience could be even beyond our own platform. When you think about the very strong commercial intent that we see with our users, obviously, we satisfy a lot of that commercial intent on our platform. But we think that could be helpful beyond our platform. So we're in very early days of testing that.
Operator: Thank you. The next question comes from the line of Mark Kelley with Stifel. Please proceed.
Mark Kelley: Great. Thanks very much for taking my questions. Bill, I appreciate the extra color on Performance Plus tonight. I was hoping maybe we could drill into the SMB and kind of mid-market opportunity just a little bit more. I know you threw out that stat, the 24% higher conversion rate. Is that pretty standard whether you're a smaller advertiser versus a more sophisticated and larger brand? And if I can maybe just to clarify that 10% to 15% of revenue running through Plus, was that just an SMB and mid-market stat? And where might that go over time? Thank you.
Bill Ready: Thanks for the question, Mark. So first of all, we feel really great about Performance Plus and how well that's working. We're not even a year into the deployment of that, and as a reminder, the larger platforms are many years into their rollout of this. So we're a year in, and we feel great about the progress that we've made. P Plus campaigns, our bundle suite of AI-enabled automated features, is really driving much better performance and reducing the inputs, 50% fewer inputs. So I called a little bit of this out. But, for example, retail advertisers using Performance Plus campaigns are seeing a 24% higher conversion lift versus traditional campaigns. It's also helping significantly as we expand to the smaller and midsized advertisers, those of tens of millions or hundreds of millions or $10 million to $100 million of GMV, who really value that automation. And for that segment, we see a 12% higher monthly revenue growth rate of adopters of P Plus campaigns versus non-adopters. And approximately 15% of our current revenue is this segment and is growing nicely. So there's a lot more to do to deepen share wallet there. And again, as a reminder, this is a segment of the market that larger platforms have had much more exposure to. We are earlier in this segment of the market, but P Plus we see as a significant unlock there. And it's having exactly the effect as intended, but we still have a lot more of that opportunity in front of us than behind us. So we're quite excited about what we're seeing from Performance Plus there. And then on the larger segment of this, ROAS bidding, as we've talked about, is really helping us get much deeper into the catalog of our largest retailers out there. So I shared, 22% of retail lower funnel revenue, both enterprise and SMB. And that's just launched in two quarters on ROAS bidding. So ROAS bidding is really having quite an effect, and I shared how much is getting us into many more SKUs. So we think about ads as relevant content, we want to make sure that we have ads that align with what the user's actually looking for. Getting a much larger portion of large retailers' catalogs on our platform is super helpful to that. And ROAS bidding, a subset of Performance Plus as we rolled that out over the last couple of quarters, effectively has doubled the number of SKUs that are delivering a paid impression on our platform. And it's because that ROAS bidding allows advertisers to more precisely tune, and really the AI tunes for them across catalogs with high variation in price points and margin points and those kinds of things. And so we see really great progress there, but we think there's a lot more of that to go. So when we think about our opportunity globally, but specifically, you can even as we think about growth in UCan, it's really three things: the expansion into the full catalog with the largest retailers driven by more granular bidding, like ROAS bidding, from Performance Plus. And so we've got results of that. We're just a couple quarters in, a lot more to do there can get us deeper into the catalogs of the largest retailers. And then secondly, it's mid-market and SMB driven by Performance Plus. We're just getting started in that segment of the market, but seeing really good promising early results. And then the third point that I alluded to in one of my prior answers, the AI-driven alignment of bidding and bidding systems to the advertiser measurement sources of truth, that's giving a clearer view of full-funnel attribution and events across the funnel. And other larger platforms have fully rolled that out. We are just getting started testing this. Some of our largest advertisers are seeing really promising early results there. So we think that will that's having an expansionary effect that you're seeing with some of the largest platforms out there. We think that's a real opportunity for us as we look into next year. So hopefully, that helps give a little more color on the broader sort of things we're thinking about with Performance Plus there.
Operator: Thank you.
Ross Sandler: The next question comes from the line of Ross Sandler with Barclays. Please proceed.
Ross Sandler: Great. Just want to bring Julia in on key investment priorities for next year. And how do we think about the pace of EBITDA margin expansion in '26 compared to the pace we're seeing in the second half of 2025? And then just to follow up on the agentic question. So Walmart's integrating its catalog into ChatGPT for this checkout service. I know it's early days, but for something like that, do you view that as neutral, positive, negative in terms of where that kind of a marketer might move their Pinterest ad budget in the future? Is this going to help you guys or potentially create a new headwind? Any thoughts there? Thanks a lot.
Julia Donnelly: Thanks, Ross. I'll take the first question. So it's still a bit too early to talk specifically about 2026 as we're still reviewing those plans internally. But stepping back, we still feel confident in the long-term margin targets that we provided in 2023. And at that time, just as a reminder, we said we would target a 30% to 34% adjusted EBITDA margin over a three to five-year time horizon. So now here in 2025, we're already approaching 30% for the full year. So we've made a lot of progress already by growing the top line while investing thoughtfully, primarily in R&D and to a lesser extent the sales area as well. So looking forward, we continue to see many investment opportunities with high ROI, particularly across AI, the power user experiences, including our new Pinterest Assistant, which we believe will help keep us on the leading edge in visual search and discovery, as well as ongoing investment in our performance ads platform. On the gross margin line, in aggregate, we expect the cost of revenue next year to grow more in line with the business going forward, though there can be some variations quarter to quarter. And there are a few factors at play there that I'll call out. Cost of revenue, which is mostly our infrastructure costs, will naturally rise, of course, due to ongoing user and engagement growth. Additionally, we've previewed for multiple quarters now on several calls that we expect to see diminishing returns from the infrastructure cost optimization work that we've undertaken for the last two-plus years. Now partially offsetting this kind of natural upward pressure in cost of revenue is the fact that we're able to apply AI use cases sort of directly in service to monetization where we see immediate revenue. So we're not rolling out new features and then planning to monetize them years later. They monetize right away. It's sort of part of our general philosophy. We're also being cost-efficient with our model usage, including as Bill alluded to utilizing open-source models where applicable that come at a meaningful reduction in cost. So in summary, we continue to stand by our long-term adjusted EBITDA margin targets that we've always said, though the rate of adjusted EBITDA margin expansion would vary year to year. We've made a lot of progress towards these goals and we'll continue to be thoughtful about how we invest moving forward as well.
Bill Ready: And then following up on your agentic commerce part of the question, Ross. A couple of things I'd say. One is that for the largest retailers, we have catalog integrations. I shared how we're getting deeper into their catalog with our Performance Plus capabilities, and rollout level bidding and things like that. That's getting a much broader part of the catalog available for ads. But we have those catalogs for organic shopping. For push-button type buying and linked accounts. We have that with Amazon. We've had that for some time, and millions of users on Pinterest take advantage of that and have a great experience. So we feel really great about the shopping experience that we're providing. And I think, overall, I would just say it's worth noting that there's an expansionary moment happening with search generally. And I think users, just as they did in an app-driven world, are thinking about different places to go for different types of experiences. Traditional search was always great for things like product research. And I think broad-based chatbots are sort of a next evolution of that sort of research type of shopping behavior if you're trying to figure out every attribute of the latest 4K Ultra TV, or things like that. Traditional search was always great for that, and then chatbots are even better for that. But we're solving a different type of shopping journey on Pinterest. Really, more the "I'll know when I see it" type problem. And the best evidence I can share of users thinking about these things as distinct and separate is that over the last couple of years, as we've had an explosion of usage in AI chatbots, we've put up nine straight quarters of record high user growth, shopping being at the very center of that. And it's because we're taking a visual-first approach driven off human curation that happens on our platform where we just understand users' style and taste and preference. We just have a unique signal that is completely distinct from any place else in the Western world, and it's why we're able to do things like what we've shared on the relevancy of our latest multimodal visual search models. We were able to outperform the off-the-shelf models by over 30 full percentage points on the relevancy of shopping recommendations on our platform. That just gets you to a bit of the kinds of unique things we're able to do with users. And so I think, again, it's a market-expanding moment. Multiple players are growing simultaneously. And very clearly, we are one of those players that is growing, delivering a lot of value for users, a tremendous amount of shopping occurring on the platform, and a tremendous amount of searching happening on the platform. I shared that in my prepared remarks. The 80 billion plus monthly queries, the vast majority of which are visual in nature, which just, again, gets to how we're doing something that's very different than traditional search or even what chatbots are doing. So hopefully that helps contextualize that a bit.
Operator: Thank you.
John Blackledge: The next question comes from the line of John Blackledge with TD Securities. Please proceed.
John Blackledge: Great. Thanks. Pins historically has had all of its infrastructure running through AWS. Given the move in recent years of companies shifting to multiple cloud vendors, should we think about Pins potentially diversifying to other cloud platforms? Thanks.
Bill Ready: Thanks, John. So first, I'd say we view our infrastructure and platform as strategic assets that support our performance, reliability, and our AI roadmap, and Amazon is a fantastic partner for us, to be very clear. But in the same way that we are constantly testing all the various LLMs and benchmarking LLMs across one another, we're also constantly assessing the best infrastructure options for us as we move forward, especially in an AI-driven world. And that infrastructure includes LLMs, chip providers, hyperscalers. So again, if you look at what we've done over the last few years, you've seen us put AI at the center of our business, really effectively align that with the ability to monetize for users, deliver great results for users, and do so cost-effectively. And again, we've had great partnerships there, but the space is evolving and we continue to pay really close attention to that and benchmark across multiple providers on each of those sort of layers of the stack. Hopefully, that's helpful.
Operator: Thank you. This will be the last question. From Michael Morris with Guggenheim. Please proceed.
Michael Morris: Thank you. Good afternoon. Bill, you referenced a couple of times deepening engagement per user. And I'm hoping you can add some context to that. Are you talking about time spent or visit frequency or some other metric? Do you see that as a leading indicator of reaccelerated growth in the UCan market? And then secondly, on international, the growth there is significant. That has accelerated. How much runway do you see to continue to grow internationally at that elevated level, and maybe you gave us a few drivers, but what do you see as the one or two key drivers as we look forward? Thank you.
Bill Ready: Yeah. Thanks for the question, Mike. On the deepening engagement per user, we've talked about this very consistently over many quarters now. Is that we are deepening engagement per user across the areas that we want, which are around search, curation, clicks, and actions. And I shared a little more color on this call around the search behavior where we are getting more searches per user. So it's not just our searches are growing. We are getting more searches per user. We are getting them in the ways that we want, particularly around where we are very highly differentiated around our visual searches, related items, and other forms of visual searches. Drive the vast majority of that search behavior. But it is more searches per user happening on our platform even as we put up record high levels of users, and also significantly growing actionability, I just how much the clicks to advertisers have grown five x over the last three years. We're driving a tremendous amount of clicks to advertisers. So it is that great relevancy driving great recommendations that leads to actionability that leads to more users coming back from more searches and more actions, like, that is that flywheel that's spending on the deepening user engagement. And to your question around that a leading indicator of monetization? Think absolutely, yes. What I would say is that three years ago, Pinterest was pretty much upper funnel only. We've had a major transformation of the business, both in terms of user engagement, which, again, I think continues to be the brightest spot in the business. And advertisers will always follow where users and commercial intent are. We stood up a performance ad platform pretty much from scratch over the last couple of years. And we are still a long way from having the capabilities of the very largest platforms. Even as we've made the basic capabilities of that available, we've really broken into those always-on performance budgets. We have a lot more to do there. And with UCan specifically, I shared those sort of three areas where I think there's significant opportunity around getting deeper into the full catalog of the largest retailers, mid-market and SMBs that are really driving a lot of the growth across the broader market, but it's a newer area for us. And the alignment of AI bidding systems and advertising end sources giving a clear view of full-funnel attribution, think those are things that'll help us capture more of that value that we are driving. But I do think absolutely yes. It is generally true that user behavior is a leading indicator of where the advertiser dollars are going to follow. And we have the largest platforms are many years into their AI-driven ad systems. We are only a couple of years into ours. But because the user behavior is so strong, that's what's really letting us make progress. And on the international side, as I shared in my prepared remarks, the playbook that we have used in UCan, are now exporting, and we're seeing that really take hold internationally. We are still early on in our work there. We have a lot more of that opportunity in front of us, but we're really pleased with the progress we've made and how it's starting to show results. As I noted in Q3, Europe ARPU grew 31%. While rest of world ARPU grew 44%. We have a lot more of that to do. And I shared in my remarks how shopping ads are really at the center of what's driving that. So it is that commercial intent, commercial behavior. So a lot more of that to go. But what's working in UCan is exporting well. And again, to put it in perspective, two years ago at our Investor Day in September '23, shopping ads represented just 9% of international revenue. In 2025, it reached 30%. So Q3 shopping ad revenue in both Europe and rest of world grew over 2x faster than revenue growth of their respective regions. So we believe there's many years of runway of continuing to grow ARPU as we increase product catalogs, add additional ad demand, drive up relevance, and thus our ability to take up ad load. Certainly for international, but again, this year, we think there's a lot more to do, and you can as well.
Operator: Thank you. I will now hand the call over to Bill Ready, CEO, for any closing remarks.
Bill Ready: Again, thank you to all of you for joining the call and for your questions. We look forward to keeping this dialogue going, and we hope you enjoy the rest of your day.
Operator: That concludes today's conference call. Thank you. You may now disconnect your line.